Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to Banco Macro's Third Quarter 2020 Earnings Conference Call. We would like to inform you that the Q3 2020 press release is available to download at the Investor Relations website of Banco Macro www.macro.com.ar/relaciones-inversores. Also, this event is being recorded and all participants will be in listen-only mode during the company's presentation. After the company's remarks are completed, there will be a question-and-answer session and at that time, further instructions will be given. [Operator Instructions] It is now my pleasure to introduce our speakers. Joining us from Argentina are Mr. Gustavo Manriquez, Chief Executive Officer; Mr. Jorge Scarinci, Chief Financial Officer; and Mr. Nicolas Torres from IR. Now, I will turn the call over to Mr. Nicolas Torres. You may begin your conference.
Nicolas Torres: Good morning and welcome to Banco Macro's third quarter 2020 conference call. Any comments we may make today may include forward-looking statements, which are subject to various conditions. And these are outlined in our 20-F, which was filed to the SEC, and it's available at our website. Third quarter 2020 press release was distributed yesterday and it's also available at our website. All figures are in Argentine pesos and have been restated in terms of the measuring unit current at the end of the reporting period. As of the first quarter of 2020, the bank began reporting results applying hyperinflation accounting in accordance with IFRS IAS 29 as established by the central bank. For ease of comparison, figures of previous quarters of 2019 have been restated applying IAS 29 to reflect the accumulated effect of the inflation adjustment for each period through September 30, 2020. I will now briefly comment on the bank's third quarter financial results. Banco Macro's net income for the quarter was ARS6.1 billion, 4% lower than in the second quarter of 2020 and 33% lower than the result posted a year ago. The bank's third quarter 2020 accumulated ROE and ROA of 21.5% and 4.6%, respectively, remain healthy and show the bank's earning potential. Net operating income before general and administrative and personnel expenses for the third quarter of 2020 was ARS19.6 billion, decreasing 18% or ARS4.3 billion quarter-on-quarter and 5% or ARS1.1 billion lower than a year ago. Operating income after general and administrative expenses was ARS4.4 billion, 52% or ARS4.8 billion lower than in the second quarter of 2020, but ARS4.5 billion higher than in the third quarter of 2019. In the quarter, net interest income totaled ARS21.2 billion, 2% or ARS417 million lower than the result posted in second quarter of 2020 and 26% or ARS7.6 billion lower than the result posted one year ago. In the third quarter of 2020, interest income totaled ARS36.8 billion, 15% or ARS4.9 billion higher than in second quarter of 2020 due to higher income from government securities and 28% or ARS14.3 billion lower than the previous year. Within interest income, interest on loans decreased 9% or ARS1.7 billion quarter-on-quarter due to a 155 basis points decrease in the average lending rate, down to 30% from 31.5% in the second quarter of 2020, while the average volume of private sector loans decreased 5% in the quarter. Interest income decreased 23% or ARS5.4 billion year-on-year. In third quarter of 2020, interest on loans represented 48% of total interest income. Net income from government and private securities increased 56% or ARS6 billion quarter-on-quarter due to higher income from government securities and higher volume. Compared to the third quarter of 2019, net income from government and private securities decreased 39% or ARS11 billion. In the third quarter of 2020, FX gains including investment in derivative financing, totaled a ARS1.2 billion due to the 8% Argentine peso depreciation against the U.S. dollar and the bank's long spot dollar position. FX trading results continue to be impacted by stricter currency controls and regulations. In the third quarter of 2020, interest expense totaled ARS15.6 billion, 52% or ARS5.3 billion increased compared to the second quarter of 2020 and 30% or ARS6.8 billion lower on a yearly basis. Within interest expenses, interest on deposits increased 54% or ARS5.4 billion quarter-on-quarter, mainly driven by a 300 basis points increase in the average interest rates paid on deposits. The average Badlar rate increased 458 basis points quarter-on-quarter. On a yearly basis, interest on deposits decreased 28% or ARS5.8 billion. In the third quarter of 2020, interest on deposits represented 94% of the bank's financial expenses. As of the third quarter of 2020, the bank's accumulated net interest margin, including FX, was 20.3%, lower than the 22.3% posted in the second quarter of 2020 and the 21.5% one year ago. In the third quarter of 2020, net fee income totaled ARS5.3 billion, 5% or ARS267 million higher than in the second quarter of 2020. On a yearly basis, net fee income decreased 2% or ARS124 million. In 3Q 2020, net income from financial assets and liabilities at fair value through profit or loss totaled ARS7.5 billion loss as a consequence of the inflation adjustment applied to our LELIQ holdings. Higher inflation was observed in the quarter together with higher LELIQ. In the quarter, other operating income totaled ARS1.2 billion, increasing 3% compared to the second quarter of 2020. On a yearly basis, other operating income increased 22% or ARS328 million. In 3Q 2020, Banco Macro's personnel and administrative expenses totaled ARS9.6 billion, 3% or ARS299 million higher than the previous quarter due to higher administrative expenses. On a yearly basis, personnel and administrative expenses decreased 9% or ARS904 million. In the third quarter of 2020, the efficiency ratio reached 45.9%, deteriorating from the 41.6% posted in the second quarter of 2020. Excluding inflation adjustment on our LELIQ holdings shown under income from financial instruments at fair value through profit or loss from the efficiency ratio, efficiency ratio would have been 34.7% in the third quarter of 2020 and 33.7% in the second quarter of 2020. In the third quarter of 2020, Banco Macro's effective tax rate was 34.2%, higher than the 28.9% registered during the previous quarter. In terms of loan growth, the bank's financing to the private sector decreased 2% or ARS3.9 billion quarter-on-quarter and 12% or ARS31.9 billion year-on-year. Within commercial loans, others stand out with 7% or ARS2.8 billion increase quarter-on-quarter, mainly due to the loans extended to SMEs at a 24% interest rate as part of the relief package given the COVID-19 pandemic. On the consumer side, credit card loans increased 8% or ARS3.7 billion in the quarter. Within private sector financing, peso financing increased 2% or ARS4.7million, while U.S. dollar financing decreased 32% or $127 million. It is important to mention that Banco Macro's market share over private sector loans as of September 2020 reached 7.6%. On the funding side, total deposits increased 13% or ARS56 billion quarter-on-quarter and increased ARS138 billion year-on-year. Private sector deposits increased 4% quarter-on-quarter, while public sector deposits increased 64% quarter-on-quarter. The increase in private sector deposits was led by time deposits, which increased 17% or ARS29.4 billion quarter-on-quarter, while demand deposits decreased 6% or ARS11.8 billion. Within private sector deposits, peso deposits increased 6% or ARS17.2 billion, while U.S. dollar deposits decreased 11% or ARS124 billion. As of September 2020, Banco Macro's transactional accounts represented approximately 44% of total deposits. Banco Macro's market share over private sector deposits as of September 2020 totaled 6.6%. In terms of asset quality, Banco Macro's non-performing to total financial ratio reached 1.14%. And the coverage ratio measured as total allowances under expected credit losses over non-performing loans under Central Bank rules, improved significantly and totaled 302.9%.  Asset quality continues to be positively affected by recent measures adopted by the Central Bank of Argentina in the current pandemic context, particularly the 60-day grace period that was added to debtor classification before a loan is considered as non-performing. In terms of capitalization, Banco Macro continued showed an excess capital of ARS116.9 billion, which represented a total regulatory capital ratio of 34.8% and a Tier 1 ratio of 27.3%. It should be noted that on October 21, 2020, the special shareholders meeting decided on a complementary dividend of up to ARS3.8 billion. The supplementary dividend is calculated by multiplying the $0.20 per share dividend already incurred and approved by the shareholders’ meeting held in April by the biracial in the consumer price index between April and the date in which the Central Bank's for while is granted. At ARS3.8 billion from the complimentary dividend will be deducted from shareholders equity in the fourth quarter of 2020, the balance is to make the best use of this excess capital. The bank's liquidity remains more than appropriate. Liquid assets to total deposits ratio reached 87%. Overall, we have accounted for another positive quarter. We continue showing a solid financial position. Asset quality remained under control and closely monitored. We keep on working to improve more our efficiency standards, and we keep as well atomized deposit base. At this time, we would like to take the questions you may have.
Operator: We will now begin the question-and-answer session for investors and analysts. [Operator Instructions] Our first question comes from Ernesto Gabilondo with Bank of America. Please go ahead.
Ernesto Gabilondo: Hi. Good morning, Jorge and Nicholas. My sincere condolences to the [indiscernible] family. And thanks for the opportunity. My first question is on NIMs and net interest income growth. During the quarter we noticed loan book contraction, decrease in the average lending rate and higher funding cost that leads you to the floor on interest rates. So, all these translated in NIM pressure in the quarter. So, how should we think about NIM and the trend in the net interest income in the next quarters, and when do you expect to see real loan growth again?
Jorge Scarinci: Hi, Ernesto. Good morning. This is Jorge Scarinci. Thanks for the condolences. In terms of your question, it is basically clear that in the last, I would say, three quarters, these are kind of declined trends in the net interest margin and the net interest income, not only on Banco Macro also in our peers. These are consequences of the regulatory changes prioritized by the Central Bank. Going forward, we expect in the fourth quarter of this year, another slight contraction in the NIM compared to the third quarter. And basically on the latest change in Central Bank are impacted in the fourth quarter. And going forward, we should -- we are expecting kind of stable, might be slightly decreasing margins in 2021. For the moment, we are not seeing any upside rooming in margins, having a kind of a risk of a backward looking view on the attitude of the Central Bank on that the relations that they kept being taken. So, I would assume stable to slightly decrease in margins going forward.
Ernesto Gabilondo: Yeah. Thank you, Jorge. And then, what about loan growth, when do you expect to have real loan growth? And then I have a second question in terms of asset quality, specifically NPLs. So, after ending the relief programs, when do you expect to have a peak of NPLs next year and what should be approximately that level of NPL ratio?
Jorge Scarinci: In terms of loan growth for next year, we are assuming a consensus on GDP growth in real terms in the area of 5% for 221. Considering that also market consensus of inflation for next year is -- sorry -- in the area of 50%. So, we are looking for real loan growth approximately 30% on deposit growth in real terms in the area of 20%, 25%. In terms of asset quality, what -- according to the numbers we have been releasing, we are acting in a very conservative way. We will have to say that the coverage ratio is in our view allow more long-term level, but of course, continuing what is going on with the pandemic and recession Argentina, we became more conservative there. The peak for NPLs, we'll have to wait to see the evolution of the pandemic here, because there was a second round in the U.S. and Europe. We don't know if that is going to happen in Latin America, in Argentina. But for the moment we are considering that between the first and second quarter of next year, we could see a peak in terms of NPLs. However, we are seeing a kind of recovery in the second half of next year.
Ernesto Gabilondo: Perfect. Thank you, Jorge.
Jorge Scarinci: You are welcome, Ernesto.
Operator: The next question is from Jason Mollin with Scotiabank. Please go ahead.
Jason Mollin: Yes. Hi. Thanks for the opportunity Jorge and Nicolas. My question is on the business mix. Geographically, the last numbers I remember from some time ago was Banco Macro had something like 85%, almost 90% of its ATM's and 80% of its branches outside of the province of Buenos Aires. The system was probably more like 50%. Can you talk about how the business is evolving in the different geographies? Is the mix -- is there more going on outside of Buenos Aires relative to the past because of COVID and less lockdowns. And is there the opportunity for more recovery in Buenos Aires if in fact, we move forward and things get better.
Jorge Scarinci: Hi, Jason. How are you? Now that -- what we have seen according to the pandemic is the first wave was stronger in BA City and the province of Buenos Aires. Then this area started to stabilize in the number of cases, and there was a kind of increase in the provinces, mainly in Cordoba, Santa Fe, maybe Mendoza, Salta, some of the provinces, not all of them, but again, that increased agenda that we saw in the provinces are being stabilized again here. Again, the big concern is what is going to happen next year. In autonomy, we are going to have a second wave or not. But I would say that across the country, the number of cases and death has been pretty stable in the last, let's say, two weeks. In terms of economic activity, I mean, the recession that happened in the Argentina was across the board. We have to say that as a positive volunteer, we have to say that commodity prices are much higher. And, of course, the agri business sector is having a momentum here. And, of course, they are in the interior. So Santa Fe, Cordoba, part of Entre Rios, Mendoza are having -- was recovering that sense. So what we are expecting for next year is that the recovery in the interior is going to be similar or may be slightly higher than - may be in BA City. Also the province of Buenos Aires is going to have a good performance there because of the agri business sector. But honestly, we are not seeing big, big differences between the recovery in interior and in BA City.
Jason Mollin: That's helpful. Much appreciated. Thanks.
Jorge Scarinci: Yeah, Jason, good to hear.
Operator: The next question -- excuse me -- the next question is from Gabriel Nobrega with Citigroup. Please go ahead.
Gabriel Nobrega: Hi, everyone. Good morning and thank you for the opportunity to ask questions. So, I actually have another question related to asset equality as well. We saw during this quarter that you continued on making higher provisions. Even though you comment in your press release that you created additional provisions, could you just maybe tell us out of the 1.7 billion, which you provisioned during this quarter, how much was only related to COVID? And then also related to that, given that you already have a very high coverage ratio, do you expect that maybe provisions in the fourth quarter and then going on towards 2021 they comeback to levels of the first quarter, or are you going to maybe be a bit more conservative given that there could be a second wave? And I'll ask a second question afterwards. Thank you.
Jorge Scarinci: Hi, Gabriel. How are you? I would say that most -- almost a 100% of the provisions done in the quarter are related to the COVID pandemic. Honestly, we are still ongoing the fourth quarter. We still pretend clear what we are going to do in terms of provision in the fourth quarter. I would say that we are going to try to maintain a coverage ratio maybe higher than the level we have been stating in previous years without the pandemic. Honestly, this ratio would be slightly lower than the one that we reached in the third quarter. So, we could see a reduction in this ratio maybe in the fourth quarter in 2021. The level we posted in the third quarter was extraordinarily high. But we are going to maintain the same attitudes on policy related to us as quality that we have been carrying out in the last years in the sense that we always try to be as much conservative as we can. Of course, the pandemic is our dynamic process and we are going to keep on monitoring these very closely in order to maintain the good level of quality that we have been performing. 
Gabriel Nobrega: Okay. Perfectly clear. And then I have another question on volumes as well. During this quarter we saw that corporate loans continued to decrease due to the muted demand. But one thing would -- which caught our -- my attention here is that the retail portfolio has been increasing since the first quarter, right? And then they've been -- it even increased this quarter as well. So, I just wanted to understand here, if you are already starting to see higher demand specifically for retail loans or did something change in your risk appetite?
Jorge Scarinci: No. I would say that in terms of the corporate loans to take into consideration these are I would say there are part of corporate loans that are in U.S. dollars on prefinance to exports. And because of the behavior that we've seen in the dollar deposits that have been going out from -- not only from Banco Macro, but of the system at all, banks have been reducing the prefinance to exporters. And when you see the numbers, they are -- those loans are included and mostly on corporates. On the base of lending to corporates, we continue to see corporates that basically are demanding these types of peso loans only for working capital, which we are not seeing investment for the moment. Going forward, next year in the forecast that I have gave for a real loan growth, we're including there a more higher demand from corporates coming from peso loans.
Gabriel Nobrega: And then retail loans?
Jorge Scarinci: Next year we're expecting also a recovery in consumption and retail loan. So that 30% real growth in loans are including the increase in both corporate and retail.
Gabriel Nobrega: All right. Perfect. Thank you so much Jorge.
Jorge Scarinci: You are welcome.
Operator: [Operator Instructions] The next question is from Alonso Garcia with Credit Suisse. Please go ahead.
Alonso Garcia: Thank you. Good morning, everyone and thank you for taking my questions. My questions are regarding the fee line and the OpEx line. Regarding fees I mean, we observed a slight pick up in the quarter compared to the Q as the economy has been reopened. But still you are 2% down year-over-year. So, I wanted to understand how do you see dynamics for next year considering that as you mentioned in your press release, you will be allowed by the Central Bank to increase fees by the next year? And also on the OpEx side, I just want to understand how much of this reduction in real terms in OpEx year-over-year is related to the lower activity given the pandemic. Or how much of the negative billing growth in OpEx is sustainable and can be expected for 2021 and onwards? Thank you very much.
Jorge Scarinci: Hi, Alonso. In terms of fees, yes, we are in a continuous negotiation with the Central Bank in terms of trying to have a fee increase the most related to the inflation figure as much as we can. So, in terms of the fee income in nominal levels, we are going to be similar than inflation level for next year. In real terms, we are going to keep on working on fee expenses, trying to reduce that in order to have a net fee increase in real terms in 2021. Of course, if that is the scenario, we believe that we would have a kind of between 5% to 7% net fee growth in real terms for next year. We are not expecting a huge increase in real term for fees for next year. In terms of expenses, well, in the last year, what you have noted is also a kind of a reduction in the number of employees, because of -- we are not evolving in any active reduction plan, but there are people that are retiring or moving to other jobs. For the moment we have not replaced them. So the number of employees has gone down in the last year. Going forward, we are going to monitor the level of the activity in the country, the recovery of the activity, the recovery loan growth, et cetera. So, the idea is to keep expenses under control as much as we can. In terms of salaries, for the moment, it is not pretty clear the increase that units are going to add in 2021. Remember that salaries are approximately 65% of total expenses. To give you an idea in 2020, the total increase for salaries was 34% with inflation between 38 -- 37% or 38%. So next year, if we have to guess the increase that units might get are -- is also going to be below -- slightly below inflation. So the idea to have a kind of control in real terms of expenses.
Alonso Garcia: Understood. Thank you very much. And just epilogue, in terms of loan growth, this 30% you mentioned is real for next year, right? So 30% of all …
Jorge Scarinci: Yes. Real in pesos. Yes.
Alonso Garcia: All right. Thank you very much, Jorge.
Jorge Scarinci: You are welcome, Alonso.
Operator: There are no further questions at this time. This concludes the question-and-answer session. I will now turn it over to Mr. Nicolas Torres for final considerations.
Nicolas Torres: Thank you all for your interest in Banco Macro. We appreciate your time and look forward to speaking with you again. Good day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.